Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:02 Good afternoon. Thank you for attending today's Rush Street Interactive Fourth Quarter and Year End 2021 Earnings Call. My name is Hanna, and I will be your moderator for today's call. All lines will be muted, during the presentation portion of the call with an opportunity for questions-and-answers at the end.  00:25 I would now like to pass the conference over to our host, Lauren Seiler with Rush Street Interactive. Please go ahead.
Lauren Seiler: 00:32 Thank you, operator and good afternoon. By now everyone should have access to our fourth quarter and year end 2021 earnings release. It can be found under the heading financials quarterly results in the Investor section of the RSI website at rushstreetinteractive.com. 00:47 Some of our comments here today will be forward- looking statements within the meaning of the federal securities laws. Forward-looking statements are not statements of historical facts and are usually identified by the use of words such as will, expect, should or other similar phrases, and are subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect. 01:07 We assume no responsibility for updating any forward-looking statements. Therefore, you should exercise caution in interpreting and relying upon them. We refer you to our SEC filings for more detailed discussion of the risks that could impact our future operating results and financial conditions. 01:21 During the call, we will discuss our non-GAAP measures which we believe can be useful in evaluating the company's operating performance. These measures should not be considered in isolation or as a substitute for our financial results prepared in accordance with GAAP. A reconciliation of these measures to the most directly comparable GAAP measure are available in our fourth quarter and year end 2021 earnings release, which is available on the investor relation section of the RSI website at www.ruststreetinteractive.com. 01:50 With me on the call today, we have, Richard Schwartz; our CEO; and Kyle Sauers, Chief Financial Officer. We will first provide some opening remarks and then I’ll turn the call to questions. 01:58 With that, I'll turn the call over to Richard.
Richard Schwartz: 02:02 Thanks, Lauren. Good afternoon, everyone and welcome to the RSI fourth quarter and year-end earnings call. As we begin our second year as a public company, we are going to spend time discussing our approach to profitability, priorities, reviewing our results and looking forward to where we see RSI in 2022 and beyond. 02:26 To begin with, I'd like to comment on the recent shifts in investors sentiment and the focus on path to profitability. We've been focused on building a sustainable long-term business, with profitability of the central goal since founding RSI nearly 10 years ago. For those who have followed us through our public company life, you recognize a constancy of approach towards achieving profitability. In fact, we were adjusted EBITDA positive as recently as calendar year 2020. 03:02 We have a track record of doing what we say we're going to do. We gained market access in all key markets, consistently grown revenues quarter-after-quarter. We've delivered on our technology roadmap and consumer experiences. We've been transparent on where and when; we plan to make marketing investments and why? We attract high quality players and create player loyalty. As an increasing number of competitors, reduced marketing and promotional spend, the cost for RSI attract players has diminished, and visibility for our marketing efforts has increased. 03:46 We will continue to invest in new markets where we see opportunity, but only do so prudently with a clear line of sight to profitability. The founders that run this business own more than 50% of company and built their careers being trusted stewards of capital for the investors and achieving long-term profit. We will continue to focus on strong returns here at RSI. In a few minutes, we will share some exciting data points about our profitability milestones. 04:18 But first, I'd like to share some information of our most recent results. 2021 was incredible year of growth and accomplishments for our company. We continue to position ourselves for long-term growth and success as we accomplished a lot. More specifically, during 2021, we grew our topline by 75% year-over-year and maintained our disciplined approach to investing marketing and promotional dollars into player acquisition. 04:50 We launched online gaming in Michigan and West Virginia and online sports betting in Michigan, Virginia, Arizona and Connecticut. We grew our monthly active users 67% compared to last year, while maintaining one of the leading monthly revenue per user rates of $346 per player. We've made significant improvements in our proprietary technology platform, particularly in our online gaming platform for sports study, where we've been recognized having one of the leading app in the industry. 05:27 And we ended the year in a strong cash position with $281 million of cash on the balance sheet and no debt, leaving us well funded to continue to invest in technology and products while supporting new market launches over the coming years. We ended 2021 with our 10th consecutive quarter of sequential revenue growth. We generated $131 million in revenue, up 31% over the prior year. Sequentially from quarter three to quarter four, we grew revenue in every one of our markets. In addition, we grew sequentially in both casino and sportsbook demonstrating our strength in both categories. 06:15 As you may recall in the last two quarters, we mentioned -- that with a number of new market launches starting in the fall and we did investment mode this quarter. And as we said with the recent market launches, we increased our marketing investment in the quarter to $64 million and our adjusted EBITDA loss for the quarter was $31 million. As most investors now know, there was extreme competition from marketing assets during the fourth quarter. We weren't immune to the impact, but we continue to be prudent with our marketing and spending consistent with our focus on attracting high quality customers. 06:54 The good news is that we've seen some relief in quarter one, in existing market, as there is less competition from marketing assets and our cost to acquire players to come down nicely in the last couple of months. While there is a lot of enthusiasm surrounding the recent launches of New York and Louisiana, we are also extremely excited about our expected entry into Ontario and Mexico in the second quarter, both of which include online casino, in addition to online sportsbook. A combined population in these two new market is around 145 million people more than 4 times the number of people that access to our casino product today in North America. 07:42 We've demonstrated great success in markets with both casino and sports betting, and we expect to replicate that success into new markets. While existing market continue to mature, the newly launched markets of New York and Louisiana and the anticipated launch of Ontario and Mexico will keep us in investment mode for the next couple of quarters. We will continue to be disciplined and dynamic with our marketing spend and look forward to the long-term returns in these new markets. 08:13 As we've shared before, our strategy isn't simply for chase market share and the high volume of players. Instead, we focus on attracting quality players who will play and stay loyal to us for the right reasons. We offer a premium user experience to reduce player friction and we target players who appreciate and response to our product offering and customer service approach. We continue to expand the business by growing the top line, while strategically investing in marketing and technology that we believe will drive meaningful revenue growth with long-term value. 08:49 Heading into 2022, we are more convinced than ever that our consistent approach is the right one and we will provide long-term value creation for our shareholders. We are introducing 2022 full year revenue guidance of between $580 million and $630 million, implying 24% year-over-year top line growth at the midpoint. As a reminder, this guidance only covers existing markets where we live today. As I referenced earlier, investor attention has shifted recently to a strong focus on the path to profitability. 09:25 For those that have followed us from the beginning, you know the profitability has always been a focus of ours and that hasn't changed. While predicting exact point when we were quite consistent positive adjusted EBITDA. When we acquired greater certainty on the timing of new launches in regulated markets, which always requires investment. There is content around our profitability and is useful to consider. We expect each of our markets that launched during or before the first half of 2021 to be profitable or near breakeven for the fourth quarter of 2022. 10:03 To be clear, when we think about profitability in the specific market, it includes all operating cost of that market. It includes allocation of all marketing costs incurred by the company and excludes our G&A costs. In addition, how do we now (ph) launched another market after Q2 of 2021, we would have expected to be adjusted EBITDA positive as entire business for the full year of 2022. 10:34 There are few take away from this, I think are important. First, we have a path to profitability in all markets where we are live. The pace at which we get there and the magnitude of profitability in each market is going to depend on whether it includes both casino and sports, our market share, the competitive intensity and tax rate. Second is that even adding more modest market share than some others. We are able to achieve profitability of markets relatively quickly because of our prudence promotional marketing spend and strong player retention. Third, is that over time, new market launches will become a smaller part to the total  for us and the impact of new market investments will be our way or the mature markets that are profitable. 11:26 Next, I'd like to discuss market launch. We now operate real money gaming in 14 markets, five of them which online casino, 13 of them online sports betting, and six with retail sports betting. To put this in perspective and then further my comments about investments, at the end of 2020, we rely that only six markets. Today this mix of live approximately 31% of the US population for online sports, and 10% are online casino, a great achievement, but a lot of opportunity remains ahead. 12:04 In the U.S. states where we operate, in terms of GGR for the fourth quarter, we have 10.5% market share for online casino and 4.5% share for online sports betting. We are the clear number four in the United States whether measured by GGR or reported revenue. With reported revenue will be in a better determinant of the ability to attract and retain players. 12:31 Now I want to quickly recap our most recent market launches that I've been referencing thus far. We began the recent string of launches in mid-October, with the launch of online sportsbook in Connecticut and partnership with the Connecticut Lottery. The online market Connecticut was followed up by the opening of nine and 15 retail sports books in the state, also in partnership with the PLC as their exclusive retail sports and partner. A few weeks after Connecticut, we launched the BetRivers online sportsbook in Arizona. Then earlier this year, we are among a small group of operators who launched day one in New York and the same was true when we also went live day one in Louisiana later in the January. 13:15 I also want to touch briefly on how we look at early results and provide context from our vantage point as investors continue to evaluate and assess the state provide numbers over the short term. To do this, I will use New York as an example. As many are aware, the overall market in terms of handle is off to a blistering starts as we expect this New York is on task to be among the largest of the online sports betting markets in the United States. 13:44 As said there is a large amount of promotional frost reflected in early results from the new state. And the early results are following the promotional spend. Similar to RSI, other state launches, we've been more measured with our promotional offerings and expect to earn market share over time as a high quality customers we target enjoy the experience we bring to them. For example, in Connecticut, we've seen our handle share grow from 6% in the opening months, and to 7%, 8% in December and almost 10% in January. 14:23 In Arizona, where we started a little later than some and launched in October. Our December handle is almost 80% greater than it was in November. New York as much newer, but as we all know, the bonus was insignificant, although, still relatively small our handle share has grown each of the six weeks, the . Despite three more entrants coming in since initial launch. There is still a long ways to go all these recently launched markets, but we're encouraged by the trends we are seeing and continue to believe the path to profits will be through the user experience, which is a combination of great product and operational excellence. 15:04 Moving beyond the recent launches, we are thrilled that Ontario has been working hard on the framework and the regulatory process and have announced a targeted launch date of April, 1. Pending all the typical approvals, we plan to be ready to launch in Ontario with our BetRivers casino and sportsbook app. We've been focused on generating brand awareness in the province and building an early database of players to our social product and pre-registration. We've talked a lot about our success in Michigan with converting our pre-launch social players to a money players and we believe who are similar to success to Ontario with people who wants to be ready to join BetRivers when we go live. 15:47 Ontario will look different than many of the U.S. states we have launched in, since online gaming has been in the reason for a while, but we are no strangers to entering a market later and building share over time. Colombia is a great example where we now close to 20% market share of handle. This past month, we announced another exciting international opportunity in Mexico, we have partnered with Mexican Media Conglomerate Grupo Multimedios for market access and then bring our online gaming platform in Mexico. Under the terms of the 25-year agreement, we will operate online casinos sports betting countrywide and we would leverage Grupo Multimedios'  of media asset and distribution channels to promotional and content integration purposes. 16:37 Our partner' portfolio media assets encompass the television, radio, print, billboards and digital and includes medial temporal (ph) a digital sports property, which attracts more than 7 million unique users per month and growing at a 29% compounded annual growth rate. Also, our partner owns millennial, a number one digital national news information source in Mexico, with 27.7 million unique users per month and its network of 22 television stations and 53 radio stations. Needless to say, we are very excited about this opportunity and anticipate launching online casinos, of course during the second quarter of 2022. 17:24 With regard to market access in states we plan to future launches. We are very pleased to access partners lined up in both Ohio and Maryland, which we anticipate will be the next opportunities to go live in the United States. We are often asked about our thoughts about future jurisdictions for what online casino and sportsbook. While it is challenging to predict the legislative process and the timeline of future states. We have been very pleased to obtain market access wherever desired and remain committed to grow in our presence in both online sportsbook and casino in state as they regulate. 17:58 Now I want to switch gears to talk about some of our marketing initiatives, investments and the results we are seeing from them. To start, we recently signed several new brand ambassadors to BetRivers including tennis -- great and respected tennis TV analyst James Blake, 3 times Super Bowl champion and NFL broadcasting veteran, Mark Schlereth, baseball legend Bobby Valentine and Chicago television personality Brittney Payton, Walter’s daughter a former Chicago Bears, Walter Payton. In Canada, we have signed Dan O'Toole, a broadcasting legend north of the border, who work for FOX Sports in United States.  we launched the  podcast, which very quickly achieved the number one spot on all sports podcast in Canada through the end of January and continues to be a top trial. We are very proud to have all of these investors showing our team as we create new and exciting betting content for players to enjoy. 18:58 We also announced an exciting multi-year exclusive partnership with LaLiga to be an exclusive wagering partner for RushBet brand in Colombia. More recently, conjunction with our launch in Louisiana, we also announced a new relationship as an official sports and partner of the New Orleans Pelicans. As we previously stated, our ability to market effectively is critical to our success. We remain a data-driven organization, using dynamic learnings and analytics to acquire, convert, retain, and reengage customers. 19:35 Real-time insights from our Business Intelligence Team allow us to continuously optimize our marketing spend, based on a return on investment focus model. This model considers a variety of factors including the products offered in the jurisdiction, the performance of diversified marketing channels, predicted lifetime value, and behaviors of customers across various product offerings. This efficiency dynamic approach shows through in our ability to attract, to retain high quality players. We grew our monthly active users during the year by 67% and we grew monthly active users sequentially from Q3 to Q4 by 24%. All of this was done while maintaining what we believe to be industry-leading  now of $327, despite entering two new online sports with only markets in the fourth quarter. 20:27 Just as exciting, in the Q4 and fiscal year 2021 trends are what we've been seeing so far in 2022 with monthly active users already up 27% from where we were in Q4. Our increased marketing investments during Q4 helped us to reach a wider sports audience during the most intense fourth season of the year and resulted in a temporary increase in CPA across our markets. However, the increased brand awareness that resulted from increasing marketing investment is already bearing fruit in Q1 this year. Whereas CPAs have come down significantly lower level. 21:13 Now turning to product and technology. First off, I'm pleased to let you know that as planned, we released the iOS app and NBA, Michigan and West Virginia during the fourth quarter. We are seeing great reception to the product and it's a huge improvement. It reduces friction that sign up through geolocation throughout the entire user experience. In fact, we are finding the new players using iOS app are generating greater than 50% more handle the new iOS users that are not using the app. 21:53 Also, noteworthy is that we plan to have the iOS app available in both Ontario and in Mexico, which will mark our first launches into casino markets with our iOS app available for all new players. In addition to a ton of improvement and functionality enhancements during recent months, we don't want to lose sight of how important it is, our technology team has built and continues to refine the world-class and robust product that has allowed us to scale and launch in more markets in the last year and we had previously in the company's history, congratulations to our continually growing technology team and all of their incredible work. 22:36 I also want to update you on the success we've been seeing with our newly released multiplayer slot tournament. As you recall from our last call, we have released this exciting new feature in Colombia and West Virginia, and now we've added it to Michigan and soon in Pennsylvania.  players, the average number of session has gone up by almost 10% for those players engaged in tournaments and those players engaged in slot tournament stands greater than 30% more time per session have that release. This is a double win, player's visit more often and spend more time with us. It's timely business. 23:18 Now that we have mobile apps live in all of our U.S. markets. The next major milestone in our tech journey will be the release of a single out for the app stores across all players. This will improve our marketing efficiency and ensuring better user experience. We plan to have a single app release for the third quarter of this year. With an effort to diversify our business and enhance cross-sell opportunities to both online casino and sportsbook over the long term. RSI recently acquired the technology platform and team of Run It Once Poker. We really were impressed by the management team, including the company's Principle, Phil Galfond, who is one of the most respected poker players in the world. 24:08 Our plan is to leverage the innovative poker mine from Run It Once team, along with RSI’s prior team as led by executives with many years of experience developing industry-leading and highly scalable poker platforms. Our goal is to improve upon the tremendous foundation and user experience, the Run It Once team has created, and overtime integrate the poker vertical into our proven platform when the market is ready. Cost of the acquisition was $3.3 million in cash and $2.5 million in stock. There will be no near-term impact on our revenue and we're adding modest amounts to our ongoing G&A costs. Welcome to all of you at Run It Once and we're happy to have you join the RSI family. 24:55 With that, I'll turn the call over to Kyle.
Kyle Sauers: 24:57 Thanks, Richard. Fourth quarter revenue was $131 million, up 31% year-over-year. Full year 2021 revenue was $488 million, up 75% year-over-year. As Richard mentioned with the Run It Once recent new state launches, we finished the year in investment mode as our fourth quarter adjusted EBITDA loss was $31 million, resulting in a full year 2021 adjusted EBITDA loss of $65 million. 25:25 Adjusted advertising and promotions expense was $64 million during the fourth quarter of 2021 compared to $23.1 million in the prior year quarter and $45.4 million during the third quarter of 2021. As we discussed on our previous earnings calls, this reflects our commitment to accelerating marketing spend given new state launches, but in a rational manner relative to the industry. 25:50 As Richard highlighted earlier, we are expecting to go live in both Ontario and Mexico in the second quarter, assuming that happens, we'll be launching six new markets inside of three quarters, which is a big milestone for us. With regard to marketing expenses for 2022, we expect continued growth as we invest in new markets and support those that have already launched. As we've discussed in the past, new market launches are an investment period for us and we've been making that investment in New York, Louisiana and also Ontario already during the first quarter. 26:21 Ontario, Mexico launch in Q2 as anticipated, we would expect those investments to continue and we would expect to step up from our Q4 2021 marketing run rate in the first half of 2022. And then some moderation in the back half, assuming no major changes in the regulatory or state launch landscape. Our adjusted G&A grew to $11.6 million during the fourth quarter, up from $8.8 million in the third quarter, we continue to build out our technology teams and corporate infrastructure to support our continued growth and we expect this line item to continue to grow throughout the year in 2022. 26:57 We continue to be in a great position with $281 million in unrestricted cash on the balance sheet and no debt. We have the financial position to allow us to continue growing our marketing investments and launch in new markets quickly. As Richard highlighted earlier, we're providing 2022 full year revenue guidance. We expect 2022 revenue to range between $580 million and $630 million, implying 24% year-over-year top line growth at the midpoint. As a reminder, while I know some of our analysts include revenue growth from future market launches. We are only including those markets which are already live. So specifically, our revenue guidance includes New York and Louisiana but not Ontario, Mexico or other markets that may launch later this year. 27:44 With that, operator, please open the lines for questions.
Operator: 27:50 Certainly.  The first question is from the line of David Katz with Jefferies. You may proceed.
David Katz: 28:22 Afternoon, everyone. Thanks for taking my question. We -- it's been sort of an eventful quarter in a number of ways, and I wonder what you think about the notion of scale versus being smaller and what the attributes are that -- are to your benefit as a result of that and how you sort of balance those issues about scale and candidly, whether there are some horizontal or vertical integration at some point that may be productive versus where you are today which is working as you've laid it out?
Richard Schwartz: 29:15 Hi David. Thanks for the question. I think the answer is that sportsbook and casino are both product verticals that you don't play against other players, you play against the house and because of that ultimately every player judges, the operator based and the quality of the experience you offer them and the type of service you provide to them. So ultimately, I think the scale comes down to, can you market efficiently continue to acquire players, sometimes covers a large scale or not being as efficient as you could be beware (ph) of smaller scale. I think ultimately, our strategy is to look long-term and to continue to find those opportunities where we know we're going to get back long-term returns on those investments for new players why because the hardest part of the industry is figuring out how to retain the players once, they arrive, 30:00 Once you invest in that, which we've done over the last 10 years, you end up getting a much larger percentage of those players staying loyalty for much longer and ultimately you build your scale over the long term by having the great of offer (ph) experience. So, when it comes to horizontal and vertical integrations or opportunities, there are always being considered, certainly I think that some product categories like daily fantasy benefit from scale more than casino and sportsbook like I just mentioned. I think at the end of day that you could see -- you're already seeing a rationalization in our industry, which we welcome that because ultimately could positive for companies like ours that will allow through the best product and the best user experience to gain the scale, long term that we all want for our company.
David Katz: 30:50 Perfect. Thanks for that. Can I just follow-up with respect to the product roadmap. And if you could elaborate just a bit more on sort of, how do you see that evolving near term next year or so?
Richard Schwartz: 31:06 Sure. From online casino, we have a three-year head start in terms of investment in that product relative to where we were on sportsbooks. So, we've really done a big effort as last year and as I mentioned in the remarks, we've actually really closed the gap and actually been very strong and now, achieving real parity with the market leaders in the quality of the product for sports betting. But what excites us more is that, that's just the beginning. What we have done in the online casino categories, we've innovated beyond what others do in this space and that involves creating all kinds of product features ourselves in-house, different types of bonusing engines and experience of a differentiate the player experience. We pioneered in online casino and we're taking all that infrastructure that's already been built and we're now adding it sports centric themes and content to that experience to create a differentiated experience. So fundamentally, we have the same features and functions that are necessary to be a leading product today. But we're not satisfied with that. We want to go push the limits and innovation and we've already done that to a large degree in casino and our team right now is focused on bringing those core functionality that already exist and applying a new level of content, a new type of gamification layer on top of our sports betting engine. So, players that play with us feel a different experience than anywhere else. So that's the highest priority for development teams in term of innovation and we're planning to roll all these features out later this year and next year.
David Katz: 32:39 Thank you very much.
Operator: 32:44 Thank you, Mr. Katz. The next question is from the line of Chad Beynon with Macquarie. You may proceed.
Chad Beynon: 32:55 Hi. Good afternoon. Thanks for taking my question. Kyle, you noted that the revenue outlook to revenue guidance for 2022, does not include Ontario and Mexico. But I'm still going to ask about those markets and trying to get a little bit of help on this. I believe that a market like New York may have actually been negative revenue just because of the promotions and kind of how that works through the accounting that you guys’ report. When we think about a market like Ontario and Mexico that is different than in New York. Are there reasons -- I guess could you kind of help us think about if those could actually be negative revenue markets or just because there won't be as much promotions as what we saw in New York? If you launch on time, that should contribute to the revenue guidance that you gave? Thanks.
Kyle Sauers: 33:52 Yeah. Thanks, Chad. Appreciate the question. I think I'll start by validating your first part of your question on New York and I think you're right, our expectation is that would be a headwind to revenue in the first quarter. I wouldn't expect that going forward, but in the first quarter yes, due to kind of promotions running through. Ontario and Mexico, you're right, we haven't included that in guidance. I don't want to get too deep on that. I think we would expect those to first have a path to profitability, that's much faster than a sports only state because they'll both include casino and they also have a much smaller cost structure because of lower tax rates than New York. So, I think we feel really good about getting those to profitability sooner than a place like New York. 34:46 And then in terms of negative revenue really any market that you launch for some period of time, whether that's weeks or months, you're going to have some headwind on revenue. But what we've seen in the past is markets that look like Ontario, Mexico having both verticals that they move through that more quickly.
Chad Beynon: 35:08 Okay. Great. Thanks for that additional color understanding that wasn't in the prepared revenue guidance. And then on the tech side, you talked about the iOS launches, just wondering if you could provide a little bit more color in terms of the users? Did you see people convert over to iOS or did you actually see incremental players in some of the non-iOS players are still playing on the HTML? Thanks.
Richard Schwartz: 35:39 Sure. We've seen a both new users and existing users, but I will say that we focus a little bit more on the new users coming in to give them a chance, and we're comparing how they are doing versus existing players also using the prior version available web browser and we've seen, as we reported a really strong improvement from those who come out and start with iOS app, which is what we expected. So, we're going to be continuing to sort of drive a larger percentage of our existing players to those apps in the months ahead.
Chad Beynon: 36:11 Great. Thank you very much. Appreciate it.
Richard Schwartz: 36:13 Thanks, Chad.
Operator: 36:19 Thank you, Mr. Beynon. The next question is from the line of Ryan Sigdahl with Craig-Hallum. You may proceed.
Ryan Sigdahl: 36:28 Good afternoon, guys. Kyle, maybe first question on guidance, so revenue guidance does not include new jurisdictions that are launching, but it sounded like the spend commentary. Did I guess can you clarify that? And then how should we think about spend relative to Q4 and the first half of the year in existing markets? So, apples-to-apples on the revenue side.
Kyle Sauers: 36:53 Yeah. Let me try and take those apart and see if I've got all your questions in there. So, yes, you're right that the revenue guidance does not include any of the launches that will go live after today. So, it includes New York and Louisiana, but not Ontario and Mexico. We aren't guiding to a marketing expense number or an EBITDA loss number, but we did want to give some color around marketing spend and what drives those costs and wanted to make sure it was clear that Q1 already and will include costs from Ontario. There's a lot of excitement and brand awareness that we're already generating up there ahead of launch. So, we think that's a great opportunity. So, we want to make sure you knew that was happening because it is a cost that we're incurring and we also just wanted to give a little bit about the cadence of marketing expense, assuming that in Ontario and Mexico both launch in Q2, which is what we anticipate.
Ryan Sigdahl: 37:59 Got it. And then just on the Mexico launch. How is that contract with Grupo structured, I guess, is it a joint venture, is it B2B2C like a couple of states or is its full control and some payment structure?
Kyle Sauers: 38:14 Yeah. So next obviously big opportunity for us. It's a B2C relationship it operates similar to other markets. I'd say except for notable exception, a big advantage for us with this is the relationship with Grupo Multimedios and they have a fantastic variety of different media assets and distribution channels in Mexico, Richard talked about those. They are really respected organization down there. I have been around for a long time. So, they're going to be a great partner for us to help us enter and operate down there. So, we're really excited about that. Some real advantages as we have in Mexico compared to Colombia, which is gone great for us.
Ryan Sigdahl: 39:02 Maybe just one follow-up on that Kyle, is it a fixed fee structure or is it an affiliate kind of recur in participation based on sending users or some other metric? And then also to the ?
Kyle Sauers: 39:16 Yeah. We haven't disclosed any sort of equity stake and we haven't gotten into the terms, it's a B2C relationship like our other ones. So really nothing new or exciting to share on that.
Ryan Sigdahl: 39:32 Great. Thanks, guys. I'll turn it over to the others. Good luck
Kyle Sauers: 39:35 Thanks.
Operator: 39:39 Thank you, Mr. Sigdahl. The next question is from the line of Bernie McTernan with Needham and Company. You may proceed.
Bernie McTernan: 39:49 Great. Thanks for taking the questions. Just want to start out on the MLB strike. We've been getting some questions from investors just how big of a potential impact that could be, just want to see if you had any impact or any thoughts on how big the MLB as either -- as a percent of handle for the year or concentrated in 2Q and 3Q? I mean, how big of a swing factor could be within guidance for the year?
Kyle Sauers: 40:15 Yeah. So obviously our guidance that we given today includes the MLB season. No question about that. And that's an -- it's an evolving situation. At this point, the cancellation of first couple of series are weaker games isn't enough to make us think that we'd have to relook at our guidance in any way at this point. Obviously, just like other people with online sports betting sites we're keeping a close eye on that and we'll update if we think there is some change that needs to be made. But I'd also remind you that in any given quarter sports makes up a quarter to a third of our revenue and casino makes up the rest. So, we're not nearly as exposed there, but I think like everybody else, we'd love to see the MLB season get started as soon as quickly -- as soon as it can.
Bernie McTernan: 41:11 Understood. And then another kind of current event Rumors that Apollo is looking to sell Yahoo Sports potentially a sports betting company. Not sure if there's a comment there, if that could be an attractive target or not, but maybe take the opportunity to remind us, if you think own media would fit into your marketing strategy?
Richard Schwartz: 41:31 Yeah. Sure, I'll take this one. Yeah. So, I think anytime you have a media partner asset that could help you drive traffic and have some brand awareness in the marketplace is something that it's important for us to consider. We could -- there are all opportunities or all companies that maybe have opportunities to it. So, that's certainly something that is worth -- companies like us and others taking a look at because certainly they have been in the business for a long time and have some great assets.
Bernie McTernan: 42:00 Understood. Thank you.
Operator: 42:05 Thank you, Mr. McTernan. The next question is from the line of Jed Kelley with Oppenheimer. You may proceed.
Jed Kelley: 42:13 Hey, great. Thanks for taking my questions. Two if I may. Can you just give us a sense how we should think about your gross mid margin cadence for the rest of the year given New York's and Louisiana's launch? Should we expect a similar seasonality? And then just how should we view any impact from Illinois going to remote or online registration?
Kyle Sauers: 42:40 Yeah. I'll take the first one and then let Richard chime in on Illinois. So, I'd say there's probably not a ton of impact of seasonality on our gross margins. Although, I'd say generally casinos higher margin, so in heavy sports quarters you might see a little bit of movement there. I think what will drive our gross margins over time is the maturity of markets and adding markets that have lower tax rates in places like Pennsylvania where we have a decent amount of share there. I think specific to New York as you pointed out that will impact our Q1 margins hope I decline a bit in Q1 from where they were in Q4. And then we'd expect them to improve as the years go on and I think you -- probably already know this, since you asked the question, but just to be specific and clear about why that does impact margins. It's a big market, big opportunity and there's a lot of bonuses involve a sign ups, although ours lower than others. Your revenue can actually be negative for many weeks after launch. And then that turns positive over time as you work through the bonus dollars. So, and I mentioned this on an earlier question, in our case, we expect to report revenue from New York that's negative in the first quarter. So, you have negative revenue and then you have costs that are associated with generating that revenue and generating that GGR and New York most notably the tax rate. So, it creates a little bit of a headwind sequentially in the first quarter, but then that will improve as the year goes on.
Richard Schwartz: 44:23 And in terms of Illinois, we've performed really well in Illinois, and we hope we've been able to hold our share, which is a reflection of a great user experience and players really trusting and has joined the app that we offer. I think with mobile registration is going to be a big win for the state of Illinois and the industry, but it will increase the competitive intensity in the market, no doubt about that. We have a very strong brand here locally, which as we've shown, we have a strong brand, we performed well. So, we expect to continue to do well in this new climate.
Jed Kelley: 45:00 Thank you.
Operator: 45:05 Thank you, Mr. Kelley. The next question is from the line of Dan Politzer with Wells Fargo. You may proceed.
Dan Politzer: 45:14 Hey. Good afternoon, everyone and thanks for taking my questions. So, I wanted to follow up on Mexico and Ontario and just how we should generally think about the contribution directionally. I think broadly we would assume that there be positive revenue but understand there is also a lot of start-up costs. So, I mean is it fair to say that these should at least be positive EBITDA contributors for the year or is there something else that we should be thinking about?
Kyle Sauers: 45:42 So let me just make sure I'm understanding your question you're asking if there, if we would expect them to be contributing positive EBITDA for the year 2022?
DanPolitzer: 45:52 Right. Acknowledging there is typically high start-up costs when you enter into a new market and also along with that if you could touch on maybe how you're thinking about the competitive environment in those markets as you enter them?
Kyle Sauers: 46:07 Yeah. So, I don't want to get into forecasting specific profitability by market necessarily, one of the comments I made earlier that I think is relevant to that question is when we are in a market that has both casino and sports. We get to profitability sooner. There is a good track record there. In the tax rates or the effective tax rates after any promotions are both good in Ontario and Mexico for us. We'd expect that the gross margins in Ontario and Mexico  you're going to be closer to the high end of our gross margin range. So, I'm sure we'll talk more about profitability in those markets on future calls. But we think they both have a great opportunity. But they will have those initial cost that you referred to, where we spend a little more on marketing early on and where you're not generating as much revenue early as those players build and create more revenue and stickiness over time.
Richard Schwartz: 47:18 If I -- just to add a couple of things for Ontario specifically, it was the U.S. state, it would be the largest online casino market in the country. So, it's grew by population. So, we're talking about a very sizable market. We expect to, we've already had some brand awareness there because we've done substantial pre-launch marketing at a scale that we haven't done before. And importantly, I think there's a lot of discussion about the gray market existing sites are already operating there and how we think about that is that in several of our markets, already in the past we've come into markets where we already our existing online regulated casinos operating for several years and we've done well and grown market share each of those markets and we're seeing markets like New Jersey, Colombia and West Virginia. So I think there is excitement for us to the quality of our product and online casino really stands out. And that's why we're as excited as we are about Ontario and Mexico opening up because it gives us a chance to leverage our strength.
Daniel Politzer: 48:14 Got it. And then just for my follow up some of your competitors have talked about marketing and media spend and I know you guys have been pretty, pretty restrained there historically. But have there been any changes or tweaks as you think about kind of the go forward as you spend your marketing dollars on where you spend it?
Kyle Sauers: 48:38 Yeah. So, we historically we have been cautious and I would say a little more moderated as some of the others in our industry and we are excited by, as I said earlier, that is a rationalization of spend occurring in the marketplace. We tend to be very data driven and nimble and dynamic and are shifting things frequently and we are, when we see opportunities to increase spend because we're confident we're going to get a return of those invested players. We do that. And so, the hard part is, we've already done, which is getting the retention, like I said earlier, figured out. Now allows us to look at these market based on tax rate, product vertical, competitive intensity and be able to have a high degree of confidence and we spend a market, we know what our CPA targets are -- cost-per-acquisition target are that are going to get us the returns we want over the longer term it's allowed us to be very -- I think thoughtful in our approach and continue to market and spend where it makes sense based on the returns that we expect to get.
Daniel Politzer: 49:42 Got it. Thanks so much. Appreciate the color.
Operator: 49:49 Thank you, Mr. Politzer. The next question is from the line of Edward Engel with Roth Capital. You may proceed.
Edward Engel: 49:59 Hi. Thank you for taking my question. It seems like your cost structure is a little bit different than competitors leased over the past two years. With a lot of your OSB focus peers they kind of ramp their customer acquisition in 3Q and then 4Q ends up being a big payback quarter. I know the past few quarters or years have been a little bit impacted by new state launches, but longer term, should we expect 4Q to be kind of your biggest profit contributor for the year?
Kyle Sauers: 50:29 Go ahead, Richard.
Richard Schwartz: 50:32 Yeah, I was going to say, for us consistency is something that we've built this business around and really because of our strength in casino. We haven't really more of a consistent seasonality that I think the sports first companies of course we have a large and growing sportsbook business that does rely on seasonality in Q4. But really what it comes down as we mentioned a few times already is that when you invest in our current quarter, you're not going to get the returns from that player for months or in some cases even many months and many quarters. In some cases, depending on the market on the tax rate. So, our philosophy is to find the times when we could high where it it's get our brand in front of the audience, acquired its players, but really focusing on a high quality customer one to witness for the right reasons not bonus hunting for example because those aren't going to be the ones we are really targeting. So, we target those customers, we find that they're going to stay for the full year and beyond that. And our goal is to make sure that when it comes to casino player that they're going to be stable consistent, and like to experience year-round for the sports calendar, you are going to find that you're going to spend more in quarters like Q4 and Q1 where you have football and big basketball events that are really popular for the sports calendar.
Kyle Sauers: 51:48 Yeah. And maybe I'd add just when you're thinking about the cost structure and you mentioned kind of there is an impact from these new markets that are launching, right. And that is a big factor here in addition to some of the seasonal factors, but just to give a little perspective, after we launch in Ontario, we're going to have 140% more population in North America that have access to our products than we did just at the end of 2020 and it's even, it's 70% greater population than we had just five months ago. So, the way we're attacking this and going after it is impacted by new launches. So, I mean that's a big increase. It's a huge opportunity for us and it would be silly for us not to be taking advantage of that although in a measured way as we always have. And as Richard has talked about today, so I just want -- and I guess I'd add that population growth, I'm talking about doesn't even include the Mexico opportunity with a population of 130 million people. So, a lot of good things ahead, but I think in the near-term market launches will impact costs far more so than seasonality will.
Edward Engel: 53:05 Great. Thank you for that. And then if I could just squeeze one more in here, just kind of based on some of your commentary on sales and marketing costs and advertising costs, I mean maybe new state launches, it feels like we should expect EBITDA losses in 2022 to exceed those in 2021, is that fair? And then a bunch of your peers everyone's had a guiding to positive EBITDA by the fourth quarter ‘23, is there any reason why that wouldn't be achievable for RSI especially assuming or I guess, assuming those states will legalize iGaming or something that California doesn't deregulate?
Kyle Sauers: 53:40 Yeah. I think so that's always the interesting thing about trying to predict profitability out so far, right. And I think maybe I'll reiterate what we said about the markets that we've been in up through the first half of 2021 that we expect those markets to be positive by the end of this year and for the fourth quarter we're very close to it by market by market basis. And if we haven't launched any more markets, then we would have expected the whole business to be profitable in 2022. So that just tells you how big of an impact of new markets are, and kind of balancing that investment with your maturing markets. I have to manage that. So, I don't think I want to give a forecast for 2023 profitability, if we didn't launch anything more after Mexico. And I think we've got a real good opportunity for showing profitability in 2023.
Edward Engel: 54:39 Perfect. Thank you so much.
Operator: 54:45 Thank you, Mr. Engel. The next question is from the line of Stephen Grambling with Goldman Sachs. You may proceed.
Unidentified Participant: 54:54 Hi. Thanks for taking the question. You've got  for Stephen. The first question I have is the EBITDA margins in the core. I mean you mentioned, have you not launched a new state post 2021 you would be positive, but would you be able to give a margin that you were running at either nationally or any other core states like Pennsylvania or Illinois before including allocating the fixed costs?
Kyle Sauers: 55:24 Yeah. So, I'll start with -- just I want to clarify something that you said, just so, it's entirely clear that the markets that we're talking about are launched up through the second quarter of 2021. So, that wouldn't include in that particular metric we're talking about it wouldn't include Connecticut and Arizona, or New York and Louisiana launches that have happened more recently. And we're not going to get into giving specific margins by state. I think it's instructive enough to show that as a business enterprise as a whole we would have been profitable this year have we not launched any more states after the first half of last year and I think you can expect that that would continue to build in aggregate and over time that offsets the investments we're making in new market launches and that's how we build a profitable business over the coming years.
Unidentified Participant: 56:24 Thanks. That's helpful. And then just a secondary question more on the long-term margins. I mean you describe the dynamic where promos decline and so your gross margin would improve, but are there any other levers that you can pull as you think about long-term profitability?
Kyle Sauers: 56:44 Sure. I mean it would -- we're obviously in the very early innings and there's a lot of momentum in the industry. We're early in our company's growth profile. So, there's a lot of places for leverage over time, we're making a lot of investments in technology and the corporate infrastructure as we build the company and build out. So over time, we'll get leverage there. We're obviously, ramping up marketing for these new launches, so that as you pointed out that subsides as markets mature and as all the competition starts to rationalize so that normalizes and that'll offer leverage also. And then I think the other piece is as markets grow for us and get more mature that can improve the gross margin profile in any given market that we're in and then we'd also expect that there will be pieces of our cost of revenue, cost structure that will be able to reduce over time as well.
Richard Schwartz: 57:49 I would just add that, in our industry customers are expensive to acquire. So simply keeping your customers happy and playing used to long-term is really your best way to grow margin and grow market share over the longer term, it is really simple concept, but it's really hard to execute on, but ultimately any companies in globally over the past couple of decades that have achieved market positions of leadership have figured out how to get user experience at the top level. That's what we spend a whole lot of our time on here.
Unidentified Participant: 58:17 That's helpful, thanks. Best of luck.
Operator: 58:24 Thank you, Mr. Grambling. That concludes the question-and-answer session. So, I'll pass the conference over to Richard Schwartz for closing remarks.
Richard Schwartz: 58:35 Well, thank you again for joining us today. It was a pleasure speaking with you. We look forward to doing it again soon.
Operator: 58:49 That concludes today's Rush Street Interactive fourth quarter and year end 2021 earnings call. Thank you for your participation. You may now disconnect your lines.